Operator: Good day ladies and gentlemen, and welcome to the Third Quarter 2011 Air Lease Corp Earnings Conference Call. My name is Derick, and I’ll be your operator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of the conference. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I’d now like to turn the conference over to Mr. Ryan McKenna, Director, Strategic Planning and Investor Relations. Please proceed.
Ryan McKenna: Good afternoon, everyone, and welcome to Air Lease Corporation’s third quarter 2011 earnings call. This is Ryan McKenna, Director of Strategic Planning and Investor Relations. I’m joined this afternoon by Steve Hazy, our Chairman and Chief Executive Officer; John Plueger, our President and Chief Operating Officer; and Jim Clarke, our Chief Financial Officer. Earlier today, we published our third quarter results for fiscal year 2011. A copy of our earnings release is available on Investor Section of our website at www.airleasecorp.com. This conference call is being webcast and recorded today Thursday, November 10, 2011 and an audio replay will be available on our website. At this time, all participants to this call are in listen-only mode. At the conclusion of today’s conference call, instructions will be given for the question-and-answer session. Before we begin, please note that certain statements in this conference call including answers to your questions are forward-looking statements within the meaning of the Private Securities Litigation Reform Act, including without limitation, statements regarding our future operations and performance, revenues, operating expenses, other income and expense and stock-based compensation expense. These statements and any projections as to the company's future performance represent management’s estimates of future results and speak only as of today, November 10, 2011. These estimates involve risks and uncertainties that could cause actual results to differ materially from expectations. Please refer to our filings with the SEC for a more detailed description of the risk factors that may affect our results. Air Lease Corporation assumes no obligation to update any forward-looking statements or information in light of new information or future events. In addition, certain financial measures we will use during this call, such as adjusted EBITDA and adjusted net income are non-GAAP measures and have been adjusted to exclude charges relating to discounts on certain convertible notes and stock-based compensation expense among other charges. A description of our reasons for utilizing these non-GAAP measures, as well as our definition of them and a reconciliation to corresponding GAAP measures can be found in the earnings release we issued today. This release can be found in both the investors and press section of our website at www.airleasecorp.com. Unauthorized recording of this conference call is not permitted. I’d now like to turn the call over to our Chairman and Chief Executive Officer, Steve Hazy.
Steven F. Udvar-Hazy: Thanks, Ryan. Good afternoon and thank you for joining us today. I’m pleased to report that for the three months ended on September 30, 2011, Air Lease Corporation recorded pre-tax income of $28.3 million and net income of $18.3 million, resulting in an $0.18 earnings per share on a diluted basis for the third quarter of 2011. Our cash flow from operations for this period was $83.1 million. This is our sixth full quarter in business, and now our third consecutive quarter of increasing profitability. Our Q3 results reflect a 160% increase in both pre-tax earnings and after-tax earnings compared with Q2 of 2011. While cargo and freight markets demand has been soft, the worldwide passenger sector of the airline business has held up very well despite macroeconomic uncertainties. As I stated during our last quarterly earnings call and in our view two industry fundamentals are playing out amidst the backdrop of macroeconomic uncertainty. First, we believe the demand for new aircraft is outstripping supply; and second, we believe that we have entered a period where global economic factors will drive most airlines toward leasing solutions in greater numbers. We have seen evidence of these drivers in the third quarter, and anticipate that these trends will continue well into 2012. We see high demand for new fuel-efficient aircrafts as evidenced by the order books for Boeing, Airbus, Embraer and ATR, which are effectively sold out for the next several years. In addition, the sales campaign for the Airbus A320NEO and the Boeing 737 MAX have further limited aircraft supply with unprecedented forward lead times on new orders. In an environment where airlines are unable obtain new aircraft from the manufactures now, and likely for many years to come, we believe that most airlines look to us in our pipeline of new aircraft as an important source of lift. We do not see signs of airlines throttling back on their demand for new aircraft, and Air Lease Corporation has established itself as one of the leaders in aircraft industry with 233 new aircraft of order over the next decade. Both Airbus and Boeing have responded to signals from the marketplace by increasing production. The manufactures need to be diligent with the industry forecasting and react with prudent production efficiency. We believe that the current production increases are an appropriate response to current demand, but we remain watchful for signs of oversupply. The challenges facing the European economy and all of their global trade partners has been widely reported. Constrained credit and widening spreads have had a direct impact on the airline’s ability to finance aircraft purchases. Long before these credit concerns intensify, we expanded our banking relationships in the Asia-Pacific region, thus fortifying our balance sheet and deepening the pools of capital to our disposal. For those airlines without current order streams, we believe that the leasing solution has become even more attractive given the increasing financing risk environment. We believe that all these factors position ALC favorably for the foreseeable future. Now, John Plueger, our President and Chief Operating Officer will discuss ALC’s strategic postioning and what we see in our current operations. John?
John L. Plueger: Thank you, Steve. The results from our operations this quarter confirm a shift from our start-up phase into our planned growth phase. In the third quarter, ALC was able to generate a pre-tax profit margin of 31% and cash flows of $83 million. Additionally, we’re pleased to announce that as of this earnings call, based on the number of aircraft we now have under contract, we will reach our target of building a portfolio of 100 aircraft by the end of 2011 with the current fleet as of this morning of 91 aircraft. As Steve pointed out, we see demand for new aircraft exceeding supply. Accordingly, our forward lease placements are strong. As of today, we are 100% placed for 2011, 100% placed for 2012, 71% placed for 2013, and 58% placed for 2014. Our ability to lease aircraft years ahead of their delivery serves as an important risk mitigator for the company. And beyond 2011, we don’t foresee any single customer reaching 10% of total lease revenue, which is indicative of the diversity of our customer base. Air Lease Corporation added 14 aircraft during the third quarter of 2011, and ended with 79 aircrafts in our fleet with a weighted average age of 3.6 years spread across a diverse and balanced customer base of 49 airlines in 30 countries with 35% of our fleet base in Europe, 30% based in Asia, 15% based in Central and South America; and 10% in the U.S. and Canada, and finally 9% in the Middle East and Africa. Now looking at values of aircraft and lease rates. We a see minimal effect on new current generation A320 and Boeing 737 values due to the forthcoming A320NEO and 737 MAX. The installed bases of current A320 and the Boeing 737-800 aircraft are large. And with the continued demand for new current generation aircraft, we are comfortable in the value outlook of our overall fleet going forward. Let me offer two reminders. First, we received our last delivery of the current generation of A320s in 2013, at which point we transition to the A321 with (inaudible) until our delivery stream of A320 and A321NEOs begin in 2016. Second, our focus is to derive the economic benefits of an aircraft for the first-third of its useful life. And we believe that there is a reasonable secondary market for the young used aircraft and that this market will continue. This strategy helps to insulate Air Lease Corporation from obsolescence risks as our fleet will remain young due to the regular deliveries from our order pipeline. We believe that ALC’s current debt-to-equity ratio of less than 1:1 at September 30, 2011, combined with our liquidity metrics including cash available and undrawn, secured and unsecured facility credit lines and unencumbered aircraft provide sufficient balance sheet strength to take advantage of opportunities yet positions us to manage our downside risk to credit markets and negative economic pressures. With respect to the recent economic turmoil, particularly in Europe credit markets have remained liquid for us, and it improved our short term borrowing costs thus far, while credit spreads have generally widened, the underlying interest rates have remained low. Based on statements from the Federal Reserve and the European Central Bank, we expect interest rates to remain attractive over the next two years. And as market conditions evolve, we will continue to evaluate additional sources and forms of financing. Now on that note, I’ll turn this over to Jim Clarke, our Chief Financial Officer.
James C. Clarke: Thank you, John. As Steve mentioned, our results marks ALC’s third consecutive quarter of strong revenue and profit growth. During the third quarter, our fleet generated $90.5 million in rental revenue, which includes overhaul revenue of $3.3 million compared to rental revenue of $19.1 million, which included overhaul revenue of $1.6 million in the third quarter of 2010. As a reminder, ALC adds aircraft throughout the quarter, such that the full impact on rental revenue for aircrafts acquired during any particular quarter will be reflected in subsequent periods. Interest expense and depreciation increased year-over-year proportionate to our higher debt balances and fleet growth. We recorded in the third quarter of 2011, SG&A expense of $11.5 million versus $7.9 million during third quarter of 2010. Our SG&A expense was essentially flat quarter-over-quarter, but still represents a disproportionately higher percentage of revenues during our initial years of operation. As we continue to add aircrafts, we expect SG&A expense to continue decreasing as a percentage of our growing revenue. Turning to our financing, as of September 30, 2011, ALC had built a diverse lending group consisting of 20 banks, which provided lending facilities with an overall composite cost of fund of 3.09% representing a further reduction from our composite rate of 3.29% in second quarter of 2011. This rate does not include the effects of upfront fees, undrawn fees or issuance cost amortization. Our banking group includes four new institutions that were added during the quarter. During the third quarter of 2011, the company added four unsecured term loans totaling $62.9 million and one unsecured revolving facility of $45 million. As of quarter end we have 13 unsecured revolving bilateral credit facilities totaling $358 million. Additionally, ALC entered into one secured term facility with recourse to the company aggregating $70.9 million at a rate of LIBOR plus 150 basis points. In connection with this facility, we pledged $94.5 million in aircraft collateral. ALC drew $31.3 million under our warehouse facility and incrementally pledged aircraft collateral totaling $36.8 million during the quarter. As of September 30, 2011, ALC has borrowed $740.5 million under the facility, and had pledged 29 aircraft as collateral with a net book value of $1.2 billion. As John indicated, we continue to expand our banking group and sources of financing. Since September 30, 2011, ALC has added new bank facilities totaling $116.3 million; and we are pursuing additional opportunities in the banking sector as well as private and public debt capital markets as conditions warrant. I will now turn it back to Ryan.
Ryan McKenna: That concludes management's remarks. For the question-and-answer session, each participant will be allowed one question and one follow-up. Now I'd like to hand the call over to the operator. Operator?
Operator: (Operator Instructions) And our first question is coming from the line of Greg Lewis from Credit Suisse. Please proceed.
Gregory Lewis – Credit Suisse: Yes, thank you and good afternoon.
Steven F. Udvar-Hazy: Hi, Greg.
Gregory Lewis – Credit Suisse: Hi. John, could you talk a little bit more about the financing situation. Clearly you guys have done a pretty good job of expanding your lending base. But as you think about the CapEx requirements in 2012, when should we think about Air Lease going after and sort of locking up all the sort of the financing required for that?
John L. Plueger: Sure, thanks. And I’d like Jim to comment as well, but I think the short answer Greg is that, we are actually in a process as we hinted in our comments there, we are in a process now of winding all of that up as we move forward on a global basis. And so that’s just part of our ongoing normal business, and we’re comfortable with what we see so far. So I think the easiest way to say it is, we are doing our jobs and we are pursuing debt and capital market solution that we think are making sense for us and in this marketplace. As it was commented earlier, we withstand our banking groups in Asia, we have a lot of other banks that want to talk to us. And of course, we are still pushing on emphasis towards unsecured debt as much we possibly can. In this financing environment, we will probably also be looking at secured debt solutions as well. And specifically, we are looking now quite hard at the export credit agencies for some of our Airbus deliveries next year. And then perhaps also followed by this financing with Embraer and actually those rates overall are still pretty attractive because we are grandfathered under the old pre-ASU rules for those financing. So in today's market those rates are attractive, and we're taking a pretty hard look at those.
Gregory Lewis – Credit Suisse: Okay. Great, and then just kind of staying on that, just given Air Lease is available, availability to sort of access capital. Should we think about as things sort of move forward over the next one to two years, I mean should we think that Air Lease is going to able to generate better returns on their assets simply because they're going to better access the capital, I mean is that something where you are going to be able to get better returns on your capital which is deployed versus say the overall market. And can you just sort of quantify maybe what that could look like?
John L. Plueger: Well, in the third quarter, as you’ve seen from our release, we see this 31% pre-tax profit margin on revenues, and most of that revenue from leasing operations, and most of the expense is from interest and depreciation. And as you are well aware, based on our current structure, we do not anticipate being a cash tax payer. So looking at pre-tax margin and pre-tax profit is a very important measure of our operational effectiveness. As you saw, we reduced our average debt costs from 3.29% to 3.09%, we have average lease term remaining of close to 6.5 years on our fleet. So all of these metrics moving towards a superior ability to translate our capabilities in buying and placing aircraft on very economical leases for us, otherwise we could have not achieved a 31% margin at such an early stage of our development.
Gregory Lewis – Credit Suisse: Okay, so and just what I’m thinking about, I mean so in other words it’s a couple of hundred basis points, is that sort of how we should think about it?
John L. Plueger: What you mean by a couple of hundred basis points?
Gregory Lewis – Credit Suisse: In other words, like average cost of funding is around 3%, is the market what around, 5 plus percent, 4%?
Steven F. Udvar-Hazy: Well, if you look at the other public lessors and some of the non-public lessors that do publish information, you will see that our average cost of funding including our unsecured revolvers or unsecured term loans at our secured long-term fixed facilities is significantly lower than our competitors. With the profitable one exception of GE, which of course funds their operation through the GE Corporate treasury window. So I think, we have very competitive borrowing costs and on lease rates we believe to be extremely attractive for us.
John L. Plueger: And Greg, this is a matter of disappointment, as you know, as we’ve said before we really don’t give forward guidance on margins or earnings.
Steven F. Udvar-Hazy: Yeah, but I can comment on what we did in the third quarter, and I think the results speak for themselves.
Gregory Lewis – Credit Suisse: Okay, guys, thanks for the time.
Steven F. Udvar-Hazy: Thanks, and we will keep it to one question and one follow-up, please.
Operator: Your next question is coming from the line of Jason Arnold from RBC Capital. Please proceed.
Jason Arnold – RBC Capital Markets: Hi, good afternoon, guys, and congrats on a strong on results reaching your 100 deliveries this year. Just wanted to see if you could expand and comment about share gain opportunities for lessors versus banks, and if this is something that kind of takes the industry 35% of the financing into the equation to maybe 40% market share or much more sooner or kind of how you are expecting this to play out?
John L. Plueger: Well, on a historical basis, the Western European Banks particularly in France, Germany and the UK played a very, very significant role both in direct financing to airlines and also on the export credit agency underlying financing. We believe that at certain segment of that market it’s now obviously pulling back their ability to lowering the dollar based transition. So we think there is a definite shift towards leasing, which could in fact as you say accelerate the percentage of aircraft lease to 40% sooner than what we originally anticipated last year, we’re seeing that trend.
Jason Arnold – RBC Capital Markets: Is it starting to really manifest, which is say to a more meaningful degree is that kind of a slow motion process or maybe any thoughts on timeline on how that might work?
Steven F. Udvar-Hazy: Well, those airlines that have already got committed financing for 2012 obviously have that in place, so those airlines that either don’t have the aircraft or committed financing on airplanes they have coming have to address this issue, and we’re seeing more and more of those airlines particularly in Europe and some in Asia who historically depended on European banks for financing are now reaching out towards the operating lease medium. And we’re seeing that trend taking on a greater momentum as the weeks have gone by in September, October and early November.
Jason Arnold – RBC Capital Markets: Okay. Terrific. Thank you very much for the color.
John L. Plueger: Thank you, Jason.
Operator: Your next question is coming from the line of Michael Linenberg from Deutsche Bank. Please proceed.
Michael Linenberg – Deutsche Bank: Hey, good afternoon, gentlemen. Apologize I'm on a cell, two questions here, receiving your introductory remarks, you talked about evidence of that you were seeing that suggested that a lot more share was going to be picked up by leasing companies from financing in the future, providing the future needs of financing for fleets. You just talked about some of the shifts that we’re seeing over in Europe. Are there other sort of factors or can you provide maybe other bits of evidence that suggests that shift is checking up. For example, are you seeing a lot more high-quality credits, looking to engage or finance using by way of operating leases?
John L. Plueger: Hi, Michael, it’s John Plueger. I just jump in here, I think the answer is, yes. I mean just in the last weeks or two weeks, we've been approached by a major European airline to consider sale leaseback financing on a wide-body aircraft. Next week that airline has little – a month ago was not looking for those solutions. And we’ve gotten about, I would say three to four of those quarries from more larger primarily European-based carriers in the last couple of weeks.
Steven F. Udvar-Hazy: Also as you know, the new export credit rules, will take their toll on direct purchase financing because those aircrafts that were not ordered before the grandfather period was very significantly higher cost of financing, and I think many of those airlines that would have used the old facility are now scratching their head and say, the new financing costs going forward and new guarantee fees are so exacerbated that our NPV basis, our are leasing is becoming a much more attractive alternative.
Michael Linenberg – Deutsche Bank: Very interesting, thanks for that. My second question, a little bit of sort of inconsistency in the market place, on one end we have Airbus and Boeing looking to push production rates up, and we know that the demand is there, and it’s indicated, it is in excess of supply on one hand. On the other hand, I know a few weeks back, Airbus talked about, that the increase in production rates could potentially be threatened by the fact that their supplier base could not get financing to fund the expansion of a supply chain. And I’m just curious, is that – should we view that as maybe a chink in the armor here, or is it maybe just the market sending a message back to the manufacturers that they are probably moving ahead too aggressively on production rate increases, just your thoughts on that?
John L. Plueger: Yeah. That's actually -- I'm glad you brought that up, that is an issue. And we do believe that, that is potential constrain that production rate increases of this magnitude does bring. Now Boeing has not made those comments yet, and I’ve heard that from Boeing, but it is something that we have thought about, and which is another reason for us to believe that okay, well look, if perhaps this magnitude cannot be achieve or have been muted somewhat, all of the fundamentals which we just outlined for you are sort of amped up even more so. It’s just a fundamental perpetuation of a storage in supply in new aircraft.
Steven F. Udvar-Hazy: I mean, I can give you some examples, titanium forgings, galleys, seats, in-flight entertainment equipment, some of the suppliers already running at virtually 100%, and the lead times are longer than I’ve ever seen in my 40 years of experience. So we do see pockets of situations where key suppliers are so constrained that they really cannot sustain a higher production rate level at Boeing and Airbus. So we are reaching that point now where critical suppliers under their current production schemes cannot meet further updating of production rates.
Operator: Your next question is coming from the line of Gary Liebowitz from Wells Fargo Securities. Please proceed.
Gary Liebowitz – Wells Fargo Securities: Thank you, and good afternoon, Steve, John, Jim and Ryan.
Steven F. Udvar-Hazy: Hi, Gary.
John L. Plueger: Hi, Gary.
Gary Liebowitz – Wells Fargo Securities: Steve, I noticed that a couple of your more recent acquisitions have been 9, 10 year old aircraft, are you finding better risk adjusted returns in the sort of selling older aircraft or with these sort of one-off type of events and you are going to stick more to the order book going forward?
Steven F. Udvar-Hazy: Okay, let me answer to that. We’ve acquired a very small number of aircraft in our profile as part of packages that we have acquired from a few other lessors. And what we did essentially cheery-pick from a menu that those lessors gave us, and we picked the aircraft that had the highest lease rate profile, a very, very attractive acquisition cost and also gave us some airplane that we felt still had good market potential for many years to come, but it’s on a very limited basis. And what you will see is that, going forward virtually all of our acquisitions expect for three aircraft in the fourth quarter, our brand new airplane, so this activity of purchasing airplanes from other lessors has virtually come to an end now, with perhaps very few exceptions in the future. So these aircraft that you’re referring to apart the larger packaged transactions, of all the younger perhaps as well.
Gary Liebowitz – Wells Fargo Securities: Okay. Thanks and a follow-up for John, given what you said about your forecast for interest rates, we too conclude that there is no intention on hedging out your interest rate exposure?
John L. Plueger: Yeah. As a policy matter we don’t look to hedging instruments, in fact our interest rate management policy simply calls for us take more fixed rate debt over time, I think we have in several public forms data that ultimately our goal is to get towards a 70% fixed, 30% floating combination, that’s probably out there sometime early 2014, but we’re migrating our way there. I think I would point out that we’re some approximately 23% fixed as of the end of September, whereas as of at the end of last year, December 31, 2010, we’re virtually 0% fixed. So we’re migrating that way, we don’t like to deliver the instruments, we don’t like hedge accounting, we don’t like that volatility. So our current plans are not hedge. But simply to add that as we do so more on a fixed rate basis.
Gary Liebowitz – Wells Fargo Securities: Thank you very much.
John L. Plueger: Sure.
Steven F. Udvar-Hazy: I just want to add to John’s comment. This is Steve. They had a number of our loan facilities on long term loans that are currently floating rate, we have the capability on very short notice to fix all or a portion of those debt maturity to fixed rates. Without hedging this is directly with the lender. So we do have that in our toolbox if we begin to see any early trends for interest rate increases. We haven’t seen any?
Steven F. Udvar-Hazy: More obviously, watching for those kinds of interest rate increases, so we are keeping a watchful eye.
Operator: You next question is coming from the line of Scott Valentin from FBR. Please proceed.
Scott Valentin – FBR Capital Markets & Co.: Hello, good afternoon, and thanks for taking my question. Just with regard to unsecured, issuance of unsecured debt in your discussion with the rating agencies or maybe internal planning. Is there any timing on when you may secure rating?
Steven F. Udvar-Hazy: No. Scott, we are working that and we have been coordinating and having various discussions informally with the rating agencies. And it’s really tough for us to put a timetable on that at that point in time. I think in a nutshell, I would only say that, I think they are happy with our progress. But we are – in this case time actually is our friend here, because even though we are – I think achieving respectable and good results, the fact of the matter is, we have only been in business since March of 2010. And so I think it’s fair to say that most agencies would like to see at least a full year’s worth, a full year’s 10-K and a little bit more seasoning and both of the clues that we’re getting.
John L. Plueger: But obviously, as a management team we’re running the company and we have communicated it to the agencies. We’re running the company as it already were investment grade quality company. I mean everything we are doing is in that direction.
Scott Valentin – FBR Capital Markets & Co.: Okay. Thank you. And then just a follow-up question, maybe just a little bit earlier, but just wondering, there seems to be lot of opportunities out there for portfolio acquisition. And just wondering, if you're seeing that, number of opportunities increase and I know you mentioned, you're going to move more towards new deliveries going forward, but are the opportunities that are compelling now where do you take advantage of them or is there are too much competition out there still for some of the new aircraft.?
Steven F. Udvar-Hazy: We have already looked at several large packages and the board is being very engaged in reviewing that with us. Next year we have currently an order book for 45 new aircraft all of which are placed to the extent we find compelling opportunity that will further improve our financial performance and our asset profile we are certainly going to take a very close look at those. And I think that’s just something we do on a regular basis, we review all good business opportunities, but I really can’t comment on announced, possibilities that maybe in the future.
Scott Valentin – FBR Capital Markets & Co.: Okay, thank you very much.
Steven F. Udvar-Hazy: Thanks.
John L. Plueger: Welcome.
Operator: Your next question is from the line of Jason Arnold from RBC Capital Markets. Please proceed.
Jason Arnold – RBC Capital Markets: I am back again. Scott, got my question, but I just want another quick follow up. As if you guys have any insight on why Chinese Eastern swapped into the 37s from the 787, I am just curious if you have any thoughts on indication that other carriers might do the same?
Steven F. Udvar-Hazy: Yeah, I was just out there a few weeks ago in China visited with all the major airlines. The original contract between Boeing, Air China, China Southern and China Eastern called for delivery of the first 787 right before the Beijing Olympics. And these airlines did a lot of planning, strategic planning and route network development planning, which assume that the 787 would be introduced in 2008, 2009. This has not occurred and as a consequence all three of these airlines acquired incremental A330-200, A330-300 and in some cases and in the case of Air China additional 777 to offset the non-availability of the 787. In the case of China Eastern because they were able to get sufficient number of A330-200s and 300s that are doing the work of what the original 787s intended to do. The 787s coming in the future would have been redundant. So the airlines said where do we need to lift and the 737-800s became a more meaningful solution to their fleet growth. And we have seen evidence of this with a number of other carriers in China. For example, Air China, we lease them two A330-200 that originally should have been 787s. So a lot of this is because of Boeing’s inability to deliver the aircraft in a timescale that we are originally contracted for.
Jason Arnold – RBC Capital Markets: Okay, terrific. Thanks for the color.
Steven F. Udvar-Hazy: Thanks, Jason.
Operator: Your next question is coming from the line of Mark Streeter from JPMorgan. Please proceed.
Mark Streeter – JPMorgan: Gentlemen, good afternoon. Steve and John, last quarter I asked you about Boeing’s decision to go with the MAX rather than clean-sheet a narrow body aircraft and you had mention that you were talking to them and studying and even so forth and since then they’ve come out with 68-inch fan diameter decision on the engine, I’m just wondering if you have any updated thoughts on that program and the potential fit in your portfolio?
John L. Plueger: Sure. Mark, essentially, we don’t have that much of a change since the last time. We are obviously aware of the 68-inch fan decision, we are working closely with Boeing, but our new programs there are just so many different variabilities. We are – frankly, we are anxious to see what pricing information will be, we really don’t have definitive indication on that, I will call it a minor detail. The performance, we have general claims of Boeing climbing up 16% better than the current A320, 4% better than the proposed A320MAX, but those are pretty general numbers, and we look for very specific Airline performance guarantees on a case-by-case basis. And all these things are still evolving. So our dialog remains active and robust, but we simply can’t, we’ve not been able to reach any conclusion yet.
Mark Streeter – JPMorgan: Great. And then just one follow-up, so the elephant in the room is the fact that your public peers are trading below their book value, one of your large competitors in the private market that I’m sure you’re very familiar with, that just took a very large write-down and is taking several write-downs in aircraft. And I’m just wondering, it sort of gets into some of your earlier comments about actively managing the portfolio and so forth. I guess, I’m just asking if you can may be expand on that a little bit more, and your commitment to actively manage the portfolio, sell aircraft at the end of that – sort of one third of their economic life as you’ve mentioned, just trying to get a sense for under what circumstances will you keep aircraft beyond one third of their economic life and how you’re thinking about sort of residual values and so forth?
John L. Plueger: Well, we’re not doing anything differently than what we’ve set forth, obviously, we are very much in a growth phase, and so that at least in these early years, ’10. ’11, ’12 probably in the ’13, we’re probably not looking at a whole lot of aircraft sales in our portfolio. Having said that, it is our philosophy to enjoying aircraft during about the first third, we have no hard drive on that. One of the luxuries of being a very strong company and having a strong balance sheet is, you never want to be – have to be situated where you have to sell. Unfortunately many airlines have found themselves in that situation during down economic periods. The beauty of leasing is that, you can continue to lease for as long as you feel that it is appropriate. We have a lot of new aircraft coming and those metrics, those numbers alone will keep our fleet young. Now having said that, we will always look at the opportunity, if we see it to sell an aircraft for two, it’s the gain that we can achieve on that sale will meet or exceed otherwise the income margin we would enjoy on that aircraft for the remainder of its lease life, where we currently have it. So it’s a judgment question, you should not be expecting to see significant tips – mostly we’re not even at 100 airplanes yet. But we are mindful of these considerations, Mark, and it’s something we managed in our prior company all the time in different times. We are mindful of it. We will not hesitate to take advantage of the opportunity on the sell side, should we find it. But the advantage of our overall fleet in 3.6 years, there is just not a lot of pressure on it for that. And we pick, I think most importantly, and most fundamentally, and perhaps it’s a big differentiator between other companies that you're referring to. We very much pick our fleet, and we picked the aircraft types, exactly based upon what was most immune from those kinds of problems and why we distributed et cetera, et cetera. And all this is part of our overall strategy to minimize sort of obsolescence risk or is it a value risk.
John L. Plueger: And further Mark, I mean we are very hands-on in the aircraft lease asset management side, very, very hands on. We take less of a financial approach and more of an airline relationship approach where we really keep close tabs on our customers, what their needs are, what aircraft requirements are and you will not find another less sorted still hands on in terms of the asset management side of the business.
Mark Streeter – JPMorgan: Great, thank you.
Operator: Your next question will come up from the line of Scott Valentin from FBR. Please proceed.
Scott Valentin – FBR Capital Markets & Co.: Thanks for taking my follow-up question. Just two questions, one on some of the conference calls some of the other lessors, they talked about some weakness in leaser rates for A319, 737-700 maybe some of the older A320s and was curious if you are seeing that? And two, do you think it’s more of a fluid kind of a situation, or is it a timing issue or are there smaller narrow bodies, are they kind of structurally just not as adequate as some of the new aircraft?
Steven F. Udvar-Hazy: Well let me point out that the initial version of A320 came out at the end of the 1980s and that’s quite a few A320s, which we considered to be sort of the first generation A320s that are more than 16, 17 years old and so when these aircraft reach 50, 60,000 flight hours we have seen lease rates soften on those older aircraft. We do not have any of the early serial number A320s. On the 737 side, the 737-700 came out in 1998, so again you are looking at an airplane that’s out in service for 13 years. We don’t have any of the earlier versions, we have not seen any lease segregation on the young 700s and 800s and we don’t have any four-engine aircraft like A340s and 747. So, ALC is completely immune from the negative trends on the four engine side, which of course are very vulnerable to oil price increases.
Scott Valentin – FBR Capital Markets & Co.: Okay, just a follow up. Again what’s going on in Europe and for all for leasing industry in general, Europe is a big portion of the portfolio. Are you making any conscientious shifts in the way you approach, say geographic diversification of the portfolio, or is it more just on a client-by-client basis?
John L. Plueger: Well, I think we have to make a distinction between the European airlines and the European financial sector. The European airlines as whole have not been, has knocked on poorly. In fact many of our European customers are doing quite well and are going through a fleet modernization period. But you are seeing a shift in percentages of our total aircraft being reduced in Europe and moving more towards Asia and other parts of the world. Europe is still the area that has the largest number of airlines. So it’s a right market place for aircraft leasing, but in the case of Air Lease you will see Europe lose market share in our overall portfolio and you will see Asia probably overtake Europe sometime in 2012; as the largest single overall markets for ALC aircraft.
Scott Valentin – FBR Capital Markets & Co.: Thanks very much
John L. Plueger: Sure.
Operator: Your next question as a follow-up on the line of Mark Streeter from JPMorgan. Please proceed.
Mark Streeter – JPMorgan: Just one quick question from me, you’ve already discussed some of the portfolio opportunities out there. I know you can’t get into specifics, but I’m just wondering because of the condition in the financing markets, are you seeing fewer parties at the table for some of these deals where you may have been bidding, and six months ago there were three or four active bidders, and now there might only be one or two. I’m just wondering if it’s easier pick-ins for you out there?
James C. Clarke: The short answer, Mark, is yes, we are seeing fewer players.
Mark Streeter – JPMorgan: Thanks, that’s all I was wondering.
John L. Plueger: And Mark, also that lack of financing for a lot of these transactions is also applicable for certain airlines, and that’s the driver toward more leasing. It’s actually the same basic phenomenon, the supply of money to finance aircraft from traditional lenders has shrunk, which means that lessors as a group will take a larger market share.
Mark Streeter – JPMorgan: Market, it’s a good time to have some dry powder and some under leverage on your balance sheet. So we can’t wait to see what you do with it.
Steven F. Udvar-Hazy: Thank, Mark.
John L. Plueger: Thank you.
Operator: At this time, I’m showing there are no further questions in the queue. I’d like to turn it back to management for any closing remarks.
Steven F. Udvar-Hazy: That concludes our call for today. Thank you for your participation. Have a good evening.